Operator: Greetings, and welcome to the Centrus Energy First Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to Dan Leistikow, Vice President of Corporate Communications. Thank you. You may begin.
Dan Leistikow: Good morning, and thank you all for joining us. Today's call will cover the results for the first quarter of 2022 ended March 31. Today, we have Dan Poneman, President and Chief Executive Officer; Philip Strawbridge, Senior Vice President, Chief Financial Officer, Chief Administrative Officer and Treasurer; and Kevin Harrill, Controller and Chief Accounting Officer. Before turning the call over to Dan Poneman, I'd like to welcome all of our callers as well as those listening to our webcast. This conference call follows our earnings news release issued yesterday. We expect to file our report for the first quarter of 2022 on Form 10-Q later today. All of our news releases and SEC filings, including our 10-Ks, 10-Qs and 8-Ks are available on our website. A replay of this call will also be available later this morning on the Centrus website. I would like to remind everyone that certain of the information we may discuss on this call today may be considered forward-looking information that involves risk and uncertainty, including assumptions about the future performance of Centrus. Our actual results may differ materially from those in our forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in our forward-looking statements is contained in our filings with the SEC, including our annual report on Form 10-K and quarterly reports on Form 10-Q. Finally, the forward-looking information provided today is time-sensitive and accurate only as of today, May 6, 2022, unless otherwise noted. This call is the property of Centrus Energy. Any transcription, redistribution, retransmission or rebroadcast of the call in any form without the expressed written consent of Centrus is strictly prohibited. Thank you all for your participation. And I will now turn the call over to Dan Poneman.
Dan Poneman: Thank you, Dan, and thank you to everyone on the call today. The first quarter of 2022 has been a time of dramatic change for the nuclear fuel market, which presents challenges as well as unique opportunities and strong tailwinds for our business. Since we reported our fourth quarter earnings in early March, the crisis in Ukraine has dominated our thoughts, transformed global relations and underline the importance of energy security in our own country as well as the nations around the world. The ongoing crisis has catalyzed a marketplace that is now deeply aware of the urgent need for a robust national program to invest in domestic uranium enrichment capacity to reduce and eventually eliminate our dependence upon foreign state-owned enterprises for nuclear fuel supply. Even before the February 24 invasion, there was a rising sense of urgency and growing bipartisan support in Washington for major investments to establish domestic production of high-assay, low-enriched uranium or HALEU. As you know, Centrus has been leading the effort to deploy and demonstrate HALEU production capability with the first and only NRC license production facility nearing completion in Piketon, Ohio. The events of February 24 have not only underlined the urgency of aid for the United States to develop a domestic source of HALEU for the next-generation of reactors, but also the critical importance to expand and diversify the sources of production of low-enriched uranium or LEU, for our existing fleet of reactors. We believe Centrus has an indispensable role to play in establishing this required robust, resilient, self-sufficient domestic enrichment market. As you know, the United States and other governments have imposed an escalating number of trade sanctions on imports of Russian oil and other commodities as well as sanctions on Russian banks and individuals. Today, these measures have not significantly affected our existing supply agreement. But of course, we are monitoring the situation very carefully. Though many people have understandably focused on the headwinds and uncertainty around Russian supplies of uranium and enrichment, the larger and longer-term story relates to the significant tailwinds this crisis has created and has catalyzed to restore U.S. domestic enrichment capabilities. The need for prompt and vigorous action is clear to those in both the public and private sectors and Centrus is ready to answer the call. And of course, the only NRC license and currently deployable U.S. based technology to enrich uranium is held by Centrus, and we are focused intently on expanding from demonstration scale to commercial scale production. Our NRC license doesn't just cover HALEU, it also allows for production of LEU for the existing fleet of reactors and our technology has already been demonstrated for LEU production as part of a previous program that wrapped up in 2016. The facility in Piketon, Ohio has plenty of room to accommodate large-scale production of both HALEU and LEU for current and future reactor needs. Therefore, I am pleased to tell you that we have begun actively exploring the opportunity to expand our commercialization efforts to include the deployment of LEU enrichment alongside HALEU enrichment in pipe, which would bring cost synergies while increasing revenue opportunities. The United States has a long and proud history in this market, having pioneered uranium enrichment and dominated the global commercial market for decades. Over time, however, the United States ceded that lead to foreign state-owned enterprises to the point where we have booked from first to last place in the world among commercial enrichers. It is long past due to remedy that situation. Since February 24, we’ve been hearing calls to restore a U.S. based capacity to enrich uranium to support national security and energy security to invigorate efforts to combat climate change and to provide thousands of great clean energy jobs for American workers while restoring U.S. competitiveness in the global enrichment market. And Centrus is ready to lead that effort. Not only are we positioned to bring HALEU to market faster than any other player, but we have also the only proven U.S. technology that is deployment ready and that can meet U.S. national security requirements for enriched uranium. Over the last few months, we have achieved some important milestones in our HALEU demonstration efforts. In fact, we recently completed conceptual design for a commercial scale HALEU cascade and for the support systems that we will use to load the cascade with feed material and withdraw the end product. That is an important step forward in our commercialization efforts. As we reported on our last call, the department experienced a delay in its own supply chain for the HALEU storage cylinders it was going to provide without which we could not launch the operational phase of the demonstration. With our 3-year contract expiring before operations could begin, the Department announced a decision to move the operational phase to a new competitively awarded contract that is expected to support a longer period of demonstration and HALEU production than would have been possible under the original contract. The department has not released the solicitation for the new contract yet, but in the meantime, it has incrementally extended funding under the existing contract and exercised an option to extend its term. We look forward to submitting our proposal for the next round of funding as soon as it becomes available. With more on our financials for the quarter, I will turn the call over to Phil.
Philip Strawbridge: Thank you, Dan. Good morning, everyone. As we’ve mentioned before, our revenues and margin vary significantly from quarter-to-quarter based on the timing of customer deliveries. So it's not surprising or unusual to have a great quarter like we did in the fourth quarter of 2021 to be followed by a more subdued quarter like the one we saw in the first quarter of 2022. And whether the quarter has been great or subdued, we say the same thing in each and every earnings call. Because of the lumpiness in our revenue recognition, what matters most is the annual not quarterly performance. Again, there are two factors to play -- at play here. First, nearly all of our customers are under multiyear purchase contracts that come with an annual purchase obligation, not a quarterly obligation. That customer then chooses which quarter to take their delivery, and we book that revenue in that quarter. Second, the prices in our sales contract vary significantly based on when they were signed. Published price indicators for enrichment peaked around $165 per SWU pre-Fukushima and then turnaround and declined to below $40 by late 2018. And then we begin a slow but steady rise to around $60 per so prior to the Ukraine invasion. So we’ve contracts in our order book that were signed up and down that price curve. In any quarter, we can have a lot of deliveries or very few, and those deliveries can be relatively high priced or relatively lower priced. In the first 3 months of this year, we had fewer deliveries. That’s exactly what we expected for the quarter. For the quarter, our overall gross profit was $6.3 million, down from $11.7 million in the first quarter of 2021. We’ve continued to focus on driving down overhead expenses, achieving a reduction of almost 10% in SG&A compared to the first quarter of 2021. Overall, for the quarter, we had a net loss of about $400,000. For the 3 months ended March 31, our total revenue was $35.3 million split roughly between our two business segments evenly. In our LEU segment, the volume of SWU saw decline in average prices in the deliveries decline compared to the same quarter in 2021, but there was also a decline in our unit cost per SWU. In addition to SWU, we had a $4.9 million uranium sale during the first quarter of this year, whereas we didn't have any uranium sales in the first quarter of 2021. Overall, we earned a gross profit of $2.9 million in our LEU segment for the quarter. In our Centrus Technical Solutions segment, our revenues increased by about $100,000. Our cost of sales declined by $4.3 million compared to the first quarter of 2021, due in part to a $1.6 million refund from the DOE and some of our costs. As a result, we had a gross profit of $3.4 million in the first 3 months of this year compared to a loss in that segment of about $1 million in Q1 of 2021. Combining the two segments, we earned a gross profit of $6.3 million. On our last earnings call, we reported a tremendous improvement in the funding status of our legacy pension plan. As you will recall, we reduced our net pension liability to just $23 million by the end of 2021, which was an improvement of more than $100 million compared to our $124 million liability at the end of 2020. That was primarily driven by the strong growth in our pension assets, combined with the impact of the $43 million settlement we secured last year with the U.S. government that reduced our long-term liabilities for pension and postretirement benefits. The good news is that even though equity markets declined significantly in the first quarter of 2022, the losses in the pension assets were more than offset by the impact of rising interest rates, which further reduced our pension liability. The net result was continued improvement with our net pension liability declining to $19.6 million as of March 31, 2022. We are in a strong financial position going forward with a cash balance of $168.5 million and a healthy balance sheet as we head -- as we end the quarter. Our long-term order book was valued at about $1 billion as of March 31. With that, let me turn things back over to Dan.
Dan Poneman: Thanks, Philip. Before we get to your questions, let me just talk a moment about the broader landscape and the nexus between the commercial enrichment market and America's national interests. I’ve been a strong advocate for robust U.S. investments in domestic uranium enrichment capacity for many years, long before I took on this job. Indeed, in the summer entered for John Glenn, my Home State Senator from Ohio, great National Hero, I worked on a bill called the Nuclear Fuel Assurance Act of 1976, which was aimed at assuring that the United States had sufficient enriched uranium product, even back then to meet its needs. For decades, America's ability to promote the peaceful use of clean, civilian nuclear power around the world, along with our ability to set and enforce the highest standards of nuclear safety, security and nonproliferation was directly tied to the fact that the United States was the largest global supplier of commercial uranium enrichment. When the last of America's Cold War era and Richmond Plant shut down in 2013, a huge source of global influence was lost. Nations that once relied on the United States to provide their energy security no longer could. We have gone from the world's largest exporter to the world's largest importer [ph]. Now the world is turning to a new generation of advanced reactors powered by high-assay, low-enriched uranium, a brand new kind of fuel that is harder to produce and for which the only NRC license is held by Centrus. If we want to take ownership of our own energy security and reclaim our global influence, it's time to make a strategic national investment to establish an American supply of LEU and HALEU. With that, we are happy to take your questions. Operator?
Operator: [Operator Instructions] Our first questions come from the line of Rob Brown with Lake Street Capital Markets. Please proceed with your questions.
Rob Brown: Good morning, Dan and Philip.
Dan Poneman: Good morning, Rob.
Rob Brown: Just wanted to follow-up -- following up on your comments about U.S. supply effort and things have changed a lot recently, what's sort of the latest thinking on how that can develop? How does that sort of flay out? And how -- what's sort of the timing at this point in terms of some of the thinking?
Dan Poneman: Great question, Rob. There's really -- it's really been building for a number of months. You saw in the effort to pass to build back better legislation, the House Pass version had $500 million identified to support HALEU availability. And that bill did not cross the finish line, as you know, but there's a lot of interested and focused attention to that in the Senate discussion followed. And in fact, as one reason to press right now, there's a continuing dialogue about aspects of that legislation that could be salvaged to support HALEU deployment. At the same time, as I said in my remarks, there's a whole new urgency that has been added to the discussion. And I would say there is active and robust discussion involving both the administration and the Congress about how to address the new challenges that have been presented by this unprecedented sort of upheaval in the market. Timing, it's being looked at right now. I never know exactly when things are going to pass in the congress, I suppose nobody does perhaps. But I would say it's all being addressed as a matter of urgency.
Rob Brown: Okay, great. Great. Thank you. And then in terms of the current SWU market, are you seeing utilities make any changes in terms of mitigating the risk of Russia? Is there any sort of changes in the market? How has pricing changed in the last [technical difficulty] months? Thank you.
Dan Poneman: Well, I’m sure you’ve seen -- another great question. I’m sure you’ve seen that prices have had an unprecedented rise in the last kind of couple of months, and I’m sure this is why. We have not had any changes and no orders have been canceled. Of course, we are always in regular communication with our customers about their needs and the timing of deliveries. But we are also in discussions with others in the industry and Nuclear Energy Institute has been playing an active role as all of us in the industry are facing the same set of new factors.
Rob Brown: Okay. Thank you. I will turn it over.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to Dan Leistikow for any closing comments.
Dan Leistikow: Thank you, operator. This will conclude our investor call for the first quarter of 2022. As always, I want to extend a thank you to our listeners online and our investors who called in, and we look forward to speaking with you again next [technical difficulty].
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.